Operator: Good day and thank you for standing by. Welcome to the GEA Group Aktiengesellschaft First Quarter 2021 Conference Call.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your first speaker today, Oliver Luckenbach. Please go ahead.
Oliver Luckenbach: Yes, thank you very much, operator, and good afternoon, ladies and gentlemen, and thank you for joining us today for our first quarter '21 earnings conference call. With me on the call are Stefan Klebert, but our CEO; and Marcus Ketter, our CFO. Stefan will begin today's call with the highlights of the first quarter, and Marcus will then cover the business and financial review, before Stefan takes over again for the outlook '21. Afterwards, we open up the call for the Q&A session.
Stefan Klebert: Thank you, Oliver, and good afternoon, everybody. It's my pleasure to welcome you to our conference call today. We had a strong into 2021, taking into account the high comps from last year. As you know, last year's first quarter was almost unaffected by COVID-19 pandemic. This is the main reason why order intake is down by 6.9% year-over-year. While we booked five large orders worth a total of EUR140 million in last year's first quarter, in this year we received a total of EUR34 million. This gap in large orders alone explain the decline in order intake. On an organic basis, however, the decline amounts to just 2.5% year-over-year. On a sequential view, order intake further improved and reached the highest quarterly levels since Q1 2020. This result is from what we have stated in previous conference calls about the quality of the order pipeline. Orders have not dropped out of the pipeline. Customers just need more time to decide. And the pipeline remains very attractive. But let me get to this topic in more detail in the outlook section of the presentation. Sales were down by 2.6% year-over-year. The decline is owed to negative currency movement as well as the disposals of assets which we have concluded earlier. On an organic basis, rates were up by 2.2% and therefore, absolutely in line with our full year guidance of an organic growth rate between 0% and 5%. Coming now to EBITDA before restructuring expenses and the according margin, EBITDA increased by 15.4% to EUR121 million and the margin expanded by 1.8 percentage points to 11.4%, marking a new record level for first quarter. This great achievement was primarily driven by an increase in gross profit and an expansion of gross profit margin. Finally, return on capital employed increased by 7 percentage points to 19.3%, which is driven by the improvement of both EBIT before restructuring expenses as well as net working capital. Let me now summarize what we have furthermore achieved during the first quarter. Both rating agencies, Moody's and Fitch, provided an update. While Moody's confirmed their Baa2 rating, the agency upgraded the outlook on GEA to stable from negative. Fitch upgraded their rating to BBB with a stable outlook. This is in my view the result of the sustainable improvement of our financial KPIs.
Marcus Ketter: Thank you, Stefan. Also a very warm welcome from my side. Coming here to the next slide. Stefan has already highlighted the development of order intake sales and EBITDA before restructuring expenses. I will focus on the additional KPIs of this chart. Mainly, the higher profitability and a very strong year-over-year reduction net resulted in return on capital employed of 19.3%. This is a very good number for us. On a net liquidity, the sustainable reduction of net working capital was the main driver for the increase in net liquidity by EUR418 million to even EUR428 million now. The improved processes to manage network and capital have also shown positive effects in Q1 2021, as the sequential increase from Q4 was much lower than in the past. But let's get to this topic in detail further on. So summing up, we had a strong start in 2021, with organic sales growth, further expansion of margins, and improvement of capital efficiency.
Stefan Klebert: Thank you, Marcus. Let me now come to our outlook for the fiscal year '21 and some other topics. Since we shared this chart with you about two months ago, the picture has barely changed. In some industries, the assumptions by Oxford Economics for the value-added output development were slightly upgraded, most notably in the customer industry, pharma and for industrial production in general. The global economy is in recovery mode. I believe this cannot be denied. Labor markets are improving and the shortage of supplies in some areas show that the strength of the recovery was possibly underestimated. We think that if the reopening of the economies will gain momentum, we are likely to see some recovery of large auto placements during 2021. The autos never dropped. It is in our view only a question of when they will be awarded. Our guidance for the fiscal year 2021 is unchanged. We are well on-track to reach our targets after our strong results achieved in the first quarter. The 2.2% organic growth in the first quarter is perfectly within our guided range of 0% to 5%. And you should bear in mind that this was the quarter with the most challenging base effect. For EBITDA before restructuring expenses, we confirm our guided range of EUR530 million to EUR580 million and for return on capital employed a range of 16% to 20%. Please bear in mind that the guidance for EBITDA and for ROCE is based on constant exchange rates. Finally, let me now update you on our key priorities for '21. First, our continued focus on operational efficiencies. We will further improve our efficiency by systematically pushing ahead with the measures we have initiated. I addressed the current inflationary environment. This is likely to accelerate some of our efforts to harmonize processes and to reduce costs. Optimizing our manufacturing footprint also ranks high on our list of priorities. In addition to our new production facility being built in Koszalin, Poland, where we will lay the first cornerstone next month. We will push ahead with a buildup of additional centers of competence. Koszalin will be role model of a new, modern and ecologically sustainable factory, which will set completely new standards within our major manufacturing footprint and also for sustainability. Another milestone for this year will be the start of the roll system. Currently we are preparing the first template and the rollout will start within next - we will inform you our Q2 reporting about the first experiences of this rollout. This brings me to the next topic, sustainability. As mentioned earlier, we will further professionalize our efforts by releasing a new climate strategy and by setting ambitious targets in the not too far future. Our commitment, both internally and externally is clear. GEA is a company that understands and takes its social responsibility seriously. And finally, Vision '26. We are working on our Capital Markets Day in September to outline the medium-term potential of GEA. A few words on our roadmap for '21. Next is our Q2 reporting on August 13, followed by our capital market day on September 28 and 29. I hope that we will be able to meet all of you in person at a nice location. The decision whether this event will be held physical or of virtual will depend on how the pandemic develops during the next weeks and months. However, from today's point of view, we hope and believe that we will be able to meet you in person. With that, I hand it back to Oliver for the Q&A.
Oliver Luckenbach: Yes, thank you very much, Stefan and Marcus. And with that, back to you operator, and please open the lines for the Q&A.
Operator:  And your first question comes from the line of Arsalan Obaidullah at Deutsche Bank. Please ask your question. Your line is now open.
Arsalan Obaidullah: For my first one, I think you touched upon the fact that freight costs would be passed on to customers. Could you give an idea of what you expect that to be in terms of quantum for the year? And also then, sort of, how that ties back to your sort of growth target for the year as well, please?
Stefan Klebert: I mean, as I said, it is India that freight costs are paid by customer. So when we are selling machinery and equipment, it's useful that customers are paying for freight, whatever that means. So we don't expect any material impact to GEA here.
Arsalan Obaidullah: Okay. And in terms of - for my next question, in terms of your, sort of - you haven't sort of explicitly restated your 2022 margin targets. So can we assume those are sort of unchanged, in particular, note, for example, in SFT division, you're the sort of more or less at the bottom end of that range. Do you sort of now looking at some of the other divisions that you saw sort of comfortable in sort of getting to those ranges, do you see some of them being potentially more challenging as the outlook is, or used to kind of comfortably reiterate those?
Marcus Ketter: I mean, as I said, we are we are very happy and strong Q1. We think we are good on the way. But I mean, it's nine more months to come, let's say, and therefore we feel very comfortable with the guidance we gave and that's the reason why we confirmed.
Operator: And your next question comes from the line of Klas Bergelind at Citi. Please ask your question. Your line is now open.
Klas Bergelind: A couple of questions please, and I will take them one at a time. First on the backlog. It's down 4.3% year-over-year. Your growth guide is 0% to 5%, and I totally can see the positive growth here in the first quarter on revenues. This backlog is obviously measured at quarter-end. It's a bit tricky for us to compare to the FX, and effects from disposal that you have on orders and revenues because they are measured through the quarter. Marcus, could you please tell me what the underlying backlog did ex-FX and disposals at quarter end, so the organic effect? I will stop there.
Marcus Ketter: Okay. Yes, I can do that. So the FX effect is actually EUR31 million, negative EUR31 million. We have data, as you mentioned, in order backlog of minus 4.3%. Out of that is FX effect minus 1.2 percentage points. So these are the numbers.
Klas Bergelind: Excellent. Then my follow-up is on inflow route. So obviously, orders are now improving nicely in the shorter cycle divisions, SFT and FT. And I understand that the growth in FT was a bit boosted by subsidies and also some pre-ordering and how the price hikes have stayed in North America. But in SFT, which is big division, good for margin and mix through the year. Do you see this improvement more sustainable, Stefan? I mean, if you could help us of how much of the growth step up will come from improved execution of the overall backlog, as restrictions are easing?
Stefan Klebert: So we - as you said, in SFT, we have a very good also first quarter seen with a very good order intake. And we are very optimistic that this continues. So this is, as you said, important division for us in terms of margin stabilization for the whole group. And yes, as I said, we are very optimistic. If we look at the pipeline, which is normally a shorter one than compared with LTT, it looks very promising. And it looks good and strong.
Klas Bergelind: Very good. And then on the backlog conversion, a lot of backlog that is can turn much quicker as restrictions are easing. Any help that we can get from that, much of a percentage growth kickback can be in the second half? Maybe you don't want to guide like that, but I'll give it a give it a try.
Marcus Ketter: No, we can't tell how it breaks. Not that we don't, but it's - I mean, it's difficult to judge how the acceleration is going to go. But SFT is quite well underway. We are very optimistic about it.
Klas Bergelind: Yes. Okay. My very final one is on price cost. And that was great color. A lot of people in the market has been asking for it, so thank you very much for that. On services, you typically pass on increased cost inflation quite quickly. And there is a nice growth step up. Was this mainly driven by price hikes, or did we also see an underlying improvement in service demand? And if you could comment on the baked in cost inflation in your project business, you alluded to EUR20 million, Stefan. How long are the contracts? Can you renegotiate throughout the year if we see a further increase in inflation?
Stefan Klebert: Yes, let me start with the contract for the raw materials, so steel. The majority of this contract is closed until autumn. Yes, so we are - we have fixed prices until autumn. To be honest, we believe that the increase of all these prices or inflation we see in steel, wood, plastic and so on, this is not driven by demand. This is driven by, let's say, by a declining or declined supply. So what we pick up, we are very optimistic that the supply will also increase, and therefore we will also see falling prices again. So we feel very comfortable with the . We can, let's say, bridge the peak time of the material. That's of course, an assumption at the moment, clearly. But this is how we see it. And we don't - as I said before, we don't expect any material impact from today's point of view by material inflation on the GEA profitability.
Klas Bergelind: Fantastic. And then on services, how much of the 5% was price?
Stefan Klebert: Well, that's difficult to say. I mean, I think we don't have a clear detailed analysis about that. But it's a mixture, of course, yes. I mean, we increased prices in service. But we also see that that demand is coming back here. And by the way, we also expect that in the next month when the pandemic fortunately will disappear again, that we will also see increasing demand for service. A lot of maintenance or repairs might have been postponed. Service technicians will be allowed, again, to travel and to enter customer sites. So we are also optimistic if you look to the future that this will drive demand further.
Operator: And your next question comes from the line of Max Yates at Credit Suisse. Please ask your question. Your line is now open.
Max Yates: I wanted to ask about the temporary or discretionary cost savings this quarter. I think those have been running sort of low to mid-teens per quarter from Q2. So I just wanted to understand how much of a contribution that was this quarter to the EBITDA?
Marcus Ketter: We have - when you look at, we have different buckets of cost savings, of course. There, for example, a procurement - the management procurement and headcount had savings. So that was EUR2.5 million in Q1. And then of course, we had COVID-19 related savings, mainly travel and, of course, marketing expenses. That was another EUR10 million in the first quarter. And these are the major cost savings we see.
Max Yates: Okay. And just when I think about the remaining quarters of the year, is there any sort of feeling for how you're going to manage that discretionary spend? Any guidance on those temporary cost savings? We're running at EUR13 million per quarter last year. How much of that may be coming back into the business? And the reason I asked this is, because if I look at your last four quarters of EBITDA, you're at about EUR548 million. So you can get sort of well within the guidance range with no year-on-year EBITDA improvement versus Q2 to Q4 last year. So I'm just trying to understand whether when you balance out sort of no more bad debt provisions, that the additional cost savings, temporary cost coming back, do you think you can make progress year-over-year on EBITDA as we move through the year?
Marcus Ketter: I think we can make some further progress. Of course, when you look at headcount at 100, then it's a full year effect. That's the only thing which is coming back. On the counter side of that, that is we will have personnel expense increases, of course, which - inflation, which we didn't have last year. And that's going to usually - our company, that's starting April 1, so that's going to be a counter effect there. And then the question is how long the COVID-19 situation will keep on going with less travel restrictions and less marketing? So I assume for the second quarter, that will be the case, but for the third quarter, it could be the travel is coming back and also marketing expenses are rising. So that's a quarter effect there too. All in all, we think that especially procurement will be very helpful in getting savings in. We expect to see at least EUR10 million procurement savings, and probably going forward some more savings here in the second quarter, perhaps around that what we had in Q1 for travel and for marketing expenses.
Stefan Klebert: Yes, and maybe one more comment to the - of course, every company has savings in the COVID situation in travel expenses and marketing costs. And of course, some of these costs will come back. But if there is one really positive thing out of the COVID crisis, I think is that we all learn that we do not have to do every travel effort anymore, which we used to do in the past. So we will also clearly cut our travel budgets here significantly down and we will make sure that we are not spending never again this amount of travel costs which we spend in 2019 and the years before. And of course, even if we might see slightly increasing travel costs in Q3, maybe in q4, we are very optimistic that simply by growing the top line and in creating additional volume, we can overcompensate these swing backs from the cost which are getting here again.
Max Yates: Okay. And just a very quick final one. You referenced on the disposals that you were maybe not done on the disposals. And I appreciate you probably don't want to say exactly what you're considering. But could you give us a feel of the size of the disposals that you're looking at and discussing similar to the ones that we've seen announced so far? Or are these potentially kind of bigger scale?
Marcus Ketter: Okay. We announced, I think it was more than one year ago at the capital market day that we - our intention is to dispose EUR200 million to EUR300 million turnover. We did phase out about EUR130 million to EUR140 million. So you can expect that there might come EUR100 million to EUR150 million. That's the idea. And as soon as this is closed, we will have signed, we will of course inform you. But this is then - then we are done for the time being, I would say then we have a portfolio we are feeling well and then of course we are looking also ahead and we will see what kind of potential acquisitions might be possible in the future. But like I always say, we don't see ourselves under pressure to do acquisitions. But we are watching out and we are looking at companies. That's also clear part of our strategy.
Operator: And your next question comes from the line of Sven Weier at UBS. Please ask your question. Your line is now open.
Sven Weier: First one is follow-up on the order intake level. And obviously, you had very strong base orders in Q1. I mean, given, Stefan, to what you just said on the service business that this has not really fully recovered yet, so there's more to come; I was just wondering how sustainable you think is this strong level of base orders? Did it include any kind of double ordering, like we've seen in other industries or some kind of pent up? It didn't sound like it. But I just wanted you to confirm that.
Stefan Klebert: No. Sven, we don't see this - we don't expect that this is the impact or that makes a difference. We expect that there is a continuous strong order intake. And also that in service, there is no, let's say, special effect which was created during the crisis and which we don't see any more. So we, as I said, we are very optimistic if we look at Q2 and Q3. So to say maybe a bit more precise, we expect that Q2, we see an order intake, which might be into 20% above previous Q2. So I think that's a very strong number which you can expect. And we would say the Q3 might be even better than Q2. We are very optimistic in everything we see at the moment. And that looks very, very good.
Sven Weier: Thanks for the for the clear Q2 guidance there, because that was what has been my next question, because what you've said is basically, there's still no big tickets. Obviously, in Q1 so far, the pipeline is really good. So that would basically lead me to believe that Q1 should have been the lowest order intake this year. Actually, if your base order intake is sustainable on that level, you have a few big tickets coming, it sounds like your Q2 guidance could be still cautious then, because up 15% to 20% would be basically more or less flattish sequentially, I guess.
Marcus Ketter: Yes, it always depends on how you make the calculation of from which side you look at. It's - I mean, it's - especially the large project, we have a lot of large projects in our pipeline. And you know that large project, that means EUR40 million, EUR60 million one single order intake. And it's very difficult to predict will we see one or two or three of them in Q2. Will we see only one and two others in Q3? Now, the last project are very, very difficult. Therefore, I'm a little bit cautious, let's say, in clearly defining in which quarter we will see the order intake. But if we look at the next month and at the pipeline, as I said, we feel very comfortable. And especially like I said, if you compare with the previous year, 15% to 20% improvement in order intake, I think that's a good solid number.
Sven Weier: Yes, absolutely. And maybe if I may follow-up on the Dairy project pipeline. I mean, it's still kind of a common denominator what's driving the pipeline. Is it all geared into demand growth in China or do you see more diversification in the interest now?
Marcus Ketter: Are you talking about Dairy Processing or Dairy Farming?
Sven Weier: Dairy processing, yes, please.
Marcus Ketter: Dairy Processing, okay. I mean, in Dairy Processing, we have - as I said, we have a lot of projects going on. And we also see that the base load here is - it's picking up. I mean, food is - food is quite attractive, especially when it also comes to alternative food, which also might have something to do with this division or with this business unit. We are we are very optimistic also here. And as I said the pipeline which we have for the large projects, many of these pipeline - many of these projects are directly associated with Dairy Processing.
Sven Weier: Understood. And maybe the final question, if I may, was just on your mentioning on the freight cost. And you said you wanted to shift from air to sea transport. I mean, given that we said earlier that the logistic costs are basically carried by the customers, I mean, is the steps such a big deal then in the first place, the shift that you make, or is it really impacting a lot of your procurement?
Stefan Klebert: Yes, I mean, this is when we are talking about shifting air freight to sea load that also - let's say impact some internal deliveries we do or some emergency delivery, things like that, where we feel and see that there is a cost saving potential which we could use internally.
Operator: And your next question comes from the line of Akash Gupta at JPMorgan. Please ask a question. Your line is now open.
Akash Gupta: Yes. Hi. Good afternoon, everybody. I have just only one left. You mentioned some COVID travel restriction having some impact in Q1. I'm wondering if you can quantify that impact? And is it fair to say that that should be a tailwind particularly in second half of the year if travel restrictions go away by then?
Stefan Klebert: Yes, I mean, it's very clear that pandemic is still there, that and of course, the first quarter was a very tough one internal freeze. Also, not only in Europe, we also had at the beginning of impact in the U.S. also in the - of course it has an impact and as I said before, we expect once the pandemic is gone, and more and more people are vaccinated we expect the kind of tailwind. That's what we expect for the coming month. Yes.
Operator: And your next question comes from the line of Lucie Carrier at Morgan Stanley. Please ask your question. Your line is now open.
Lucie Carrier: Hi, good afternoon, gentlemen. Thanks for taking my question. I think I had a follow-up on the service side of the of the business, which has rebounded really strongly. Do you have any visibility on whether that rebound is really what I would call a restart in production for lot of customer? And generally speaking, when you think about seeing the service that you provide to your customer, is there a differential in profitability in that type of service versus what I would call maybe the regular service kind of related to kind of production itself? And in itself, do you have visibility or level of production at your customer in terms of your future for the service pipeline?
Stefan Klebert: Yes, I mean, as I said, before the service, service is picking up. We saw a slight increase here. And we especially see also now coming back a demand in the field service. The majority of our service is always bear part, but we also see now once the driver restrictions are gone, that we can - that we can improve here our services and doing more field services, that a lot of customers are also open and willing again, to let our people in their production which was or still is, in many companies, a corporate policy that other people, which don't belong to the company are only allowed to enter the factory in  them on the repair. So yes, we expect that this also will improve further.
Lucie Carrier: And my second question was around kind of the mix you have in pharmaceutical qualities. I remember that for a past couple of quarters now you have reported good momentum, but every time you have said that there was not related to kind of vaccine production. Just out of curiosity, I was just wondering if you had kind of the product line or product offering that could serve actually the vaccine industry or whether this is something we don't have and may want to have or how are you positioned in this area? Because apparently it hasn't been an - or like there hasn't been a benefit for you so far.
Stefan Klebert: Yes, I mean, we had a good order intake situation in pharma and pharma is good under way. We have actually, let's say two lines in our pharma business unit. One is the solid dosage, where we talk about tablets and so on where we also have high demand, which has nothing to do with, with vaccinations, of course. And then we have the liquid doses, where we are not in the filling business and that was especially or is the bottleneck in vaccination productions, though the question why can all the producers not speed up their production has normally nothing or very little to do with the production of the liquid itself. It is more a question how to bring the liquid in the bottle. And peg it. And this is a business where we are not in. But we are also actively involved in some of the COVID vaccination productions with our products. And, and this is also what - what is included in pharma. But it's not that we are let's say that you - it would be wrong to say that we are building complete COVID vaccination production lines and having the demand that's not the case. But I mean, what could become also very clear that Europe is very much depending in the pharmaceutical industry for a lot of other countries. And therefore we see also, a lot of European companies also investing here heavily in pharmaceutical equipment.
Lucie Carrier: And just my last question was more of a mechanical one, I just wanted to double check with you which type of impact slash benefit we should expect from ethics on adjusted EBITDA for 2021, please because the guidance is ex-FX, obviously, if there was an update from last quarter.
Stefan Klebert: We could expect the first quarter translation effect was almost 5 million. So we could perhaps expect a translational effect of between 15 and 20 because the U.S. dollar, for example, exchange rate also increased during the year of '20. And if we say it '21, so the effects of that will be a little bit lower in the coming quarters. But nevertheless, first quarter, 5 million, 15 million plus could be the case for this year.
Operator: And your final and last question comes from the line of Sebastian Growe at Commerzbank. Please ask your question. Your line is now open.
Sebastian Growe: Yes, hi, everybody. Thanks for taking my questions. Sebastian here. The first one is around at FHT. You mentioned earlier that obviously almost all divisions either already in the target margin corridor for 2022, or at least very close to that. So the only exception being FHT. My question is whether you see that the segment is fully on track to get to the 10.5%, 12% range given that you had a pretty good auto momentums into your third quarter of 2020. Are there any other leavers that we should have in mind that might go beyond volume, i.e. can you talk about pricing quality at FHT. And then I would have two other questions.
Stefan Klebert: Okay, FHT, you know, is it's kind of mixed business. Yes, we do other pharmaceutical business as a part of FHT. We see that we are also very good on drug that we are increasing our margins. And that's what we see here. And we are also very optimistic to do further improvements here, that's out of question. Yes.
Sebastian Growe: And then volume related, so operating leverage or anything really, that we should pay attention to that - the recent composition of your backlog when it comes to the drivers may itself, the various end markets you're serving would rather bode well for the mix going forward, is that the right interpretation?
Stefan Klebert: I mean, that's a mixed for many, many things. I mean, in FHT, we have potential in sales, in organic growth. And we also see good potential in improving our margins. Because this is also quite inhomogeneous, let's say within FHT, and we can also improve with here significantly.
Sebastian Growe: Okay. So the question I would have is on LPT. And given that you're already close to the midpoint of that 8& to 9% range, despite the fact that on my numbers, I would see the business about 15% or so below prior peak levels. You talk around the pipeline, and particularly you stress that their grossing looks pretty good. So the question that I would have here, are you feeling comfortable to return to those prior highs of around, call it, EUR2 billion eventually in terms of revenue over the next one to two years in that Dairy business? And how should we think about the mix impact from and have a higher share of Dairy Processing in particular?
Stefan Klebert: Yes, I mean, when it comes to the - LPT is our largest business at the moment, with roughly EUR1.7 billion turnover a year. This is a sensible size which we see here. We also see further opportunities to grow. That's very clear. And we also see further opportunities to improve our margins. But what is very clear, I always - yes, I mean, it's not about boosting top line and sacrificing margin. It's very clear that we have clear margin targets and profitability beats top line, that's very clear. And we are feeling very, very optimistic with all the changes we made in this division. I think it's very impressive turnaround. If you look at structure, we are where we had the business area, equipment and solutions and what is today LPT, which generated a lot of turnover, but zero profitability. It's a completely different issue nowadays. And as I said, priority is very clear, stabilizing the organization, improving margins, focusing on modularization of our projects, things like that. And, of course, then we also are able to grow, but it's not our main strategic direction to grow, grow, grow in that division.
Sebastian Growe: I appreciate that. But I would assume that given the restructuring you've undertaken, obviously, in theory, I would assume that now this very, very volume increase would need an ever more trimmed cost base or a nature that should have a positive impact. But on a higher level, can you just comment on the three big building blocks so to speak, when it comes to pricing quality within LPT? So Dairy is about 30% plus; the beverage, it's close to 30% share; you have chemicals that are around 20%. So to just get a better sense of how beneficial really this pick up in Dairy might be?
Stefan Klebert: Yes. I mean, we don't disclose numbers on that granularity or on that level. But it's very clear that - and that's valid for the whole LPT division. We don't want to sacrifice margins. We clearly have very clear expectations. We also have established a lot of checkpoints, let's say, to make sure that we are taking the projects which we can digest and where we see the right margins. So at the end, we have clear expectations where we want to go. These are communicated with our midterm targets. We are very well on-track here with the division LPT. Yes, that's what I can say.
Sebastian Growe: Before I leave it there, just one for Marcus, really quick one on working capital. Just on the comments from changing transportation from air to sea, would that impact eventually working capital in any sort of negative way? And can you just give us sort of idea with obviously, much better backlog now, how working capital might trend? Or do you really feel confident also with the lower end of the 8% to 10% range for working capital for the rest of the year?
Marcus Ketter: Yes. No, the freight expenses will not drive on net working capital there. I don't see that we have longer - that we have longer delivery times, actually enter - thus actually get later or get later paid. So there's more question of profitability here and a question of cost. Really hard actually to keep it at the lower end, quite frankly. With the range of 8% to 10% of the first quarter were quite successful with that. And I can tell you that our goal is actually to keep it there. But of course, I mean, everyone else, I mean, raw material prices are increasing. And there might be some fluctuations between the quarter which is simply seasonality there. And that's why we said it's between 8% and 10%. But I can confirm we're working very hard actually to keep it at the lower end of that range going forward.
Operator: Thank you. We have no further questions at the moment.
Stefan Klebert: Okay. So let me let me thank you for your participation and for your good questions. And maybe I give you a kind of summary of what you heard. First of all, I think it's important to understand and to see that GEA had a really strong start into the year '21. And this also confirms very clearly our upward trend, which you could also see . Secondly, as of today, we can mitigate most of the input costs of inflation. And we are closely and actively monitoring the situation to take further actions, if needed. And thirdly, and also very important, we confirm our outlook for '21, which is significantly above let's say the previous year, and we will be back in - we will be back in September at the Capital Market Day with our Mission '26, where we will inform you all what comes beyond our midterm targets, which we defined as EBITDA margin 12.5% to 13.5% in the year '22. So thank you. Stay healthy and all the best.
Operator: That does conclude the conference for today. Thank you all for participating. You may now disconnect.